Operator: Good day, and welcome to the Big 5 Sporting Goods' second quarter 2014 earnings results conference call. Today's conference is being recorded. On the call today from the company we have Steve Miller, President and CEO; and Barry Emerson, CFO. At this time, I would like to turn the conference over to Mr. Steve Miller. Please go ahead, sir.
Steven Miller: Thank you. Good afternoon, everyone. Welcome to our 2014 second quarter conference call. Today, we will review our financial results for the second quarter of fiscal 2014 and provide general updates on our business, as well as provide guidance for the third quarter. At the end of our remarks, we will open the call for questions. I will now turn the call over to Barry to read our Safe Harbor statement.
Barry Emerson: Thanks, Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans and prospects, constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our Annual Report on Form 10-K for fiscal 2013, our Quarterly Report on Form 10-Q for the first quarter of fiscal 2014 and other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time to time by us or on our behalf.
Steven Miller: Thank you, Barry. When we last reported at the end of April, we indicated that we were sensing what appeared to be some softness in the overall consumer environment. As the second quarter progressed, this softness persisted and became evident to us as well as I believe to a number of other retailers that recently reported that the retail climate has been generally lackluster. Additionally, our second quarter sales continued to be meaningfully impacted by significantly reduced demand for firearms, ammunition and related products, but we are disciplined in our results. We are encouraged that our sales trends have improved thus far in the third quarter. Now, I'll comment on sales for the second quarter. Second quarter net sales were $231.2 million, down 3.6% from $239.9 million for the second quarter of fiscal 2013. Same-store sales decreased 4.9% for the second quarter of 2014 compared to a 4.4% increase for the second quarter of 2013. The reduced demand for firearms, ammunition and related products accounted for approximately 300 basis points of the same-store sales decline in the second quarter. In addition, sales reflect a small unfavorable impact from the calendar shift for the Easter holiday, during which our stores were closed, out of the first quarter and into the second quarter this year. For the quarter, we experienced a mid-single digit decrease in customer transactions and a slight decrease in average sale. From a product category standpoint, the general retail malaise appeared to affect all three of our major merchandise categories for the quarter, while the reduced sales of firearms-related products solely impacted our hard goods category. Hard goods comped down high-single digits for the quarter, footwear comped down mid-single digits, and apparel remained our strongest performing category comping up in the mid-single digit range for the period. Our hard goods and apparel categories received some benefit from World Cup related business during the quarter. Merchandise margins decreased by 19 basis points for the period compared to the second quarter of last year, when merchandise margins increased by 34 basis points over the second quarter of fiscal 2012. Now, commenting on store openings. During the second quarter, we opened two stores in Prescott, Arizona and Fallon, Nevada and ended the quarter with 427 stores in operation. During the third quarter, we have closed two stores in Redmond, Washington and Santa Rosa, California as part of relocations, and we plan to open four new stores. For the 2014 full year, we currently expect to open approximately 12 net new stores. Now, turning to current trends. In addition to the ongoing consumer headwinds, the reduced demand for firearms and ammunition products remains very significant to our sales performance, although the impact is moderating slightly from what it was during the second quarter. Also, although difficult to quantify, we believe the ongoing severe drought throughout much of the west, particularly California, is impacting many of our markets, both economically and recreationally. Despite these challenges, we see encouraging signs in our business. Although same-store sales are running down in the low-single digit range for the third quarter-to-date, we have seen trends improve from the second quarter in a number of our key business metrics. Each of our major merchandise categories of hard goods, footwear and apparel is comping better relative to the last year in the third quarter than they did in the second quarter. Our customer transaction count, which as mentioned, was down mid-single digits for the second quarter is down low-single digits for the third quarter-to-date. And our average sale, which was down slightly in the second quarter versus last year is now running up slightly for the current period. Additionally, I will note that if we exclude firearms and ammunition-related products, our same-store sales are currently running up in the low-single digit range for the third quarter-to-date. Given this improved trending in recent weeks, we believe that we are in a position to produce positive same-store sales over the balance of the quarter. We have a number of positive factors in play, including initiatives to drive traffic into our stores and easier weather comparisons ahead of us. As a reminder, last year our sales for much of the peak summer selling season in August were impacted by generally unfavorable summer weather conditions in many of our markets. Finally, regarding the status of our e-commerce platform, we are currently engaged in an expensive testing process internally, and assuming that all goes as planned, we would expect to begin a phased-in soft launch of our e-commerce site to the public in September. With that said, now I will turn the call over to Barry who will provide more information about the quarter as well as speak to our balance sheet, cash flows and provide third quarter guidance.
Barry Emerson: Thanks Steve. Our gross profit margin for the fiscal 2014 second quarter was 32.7% of sales versus 33.2% of sales for the second quarter of fiscal 2013. This reduction reflected a 19 basis point decline in merchandise margins that Steve mentioned, along with an increase in store occupancy costs as a percentage of sales, primarily as a result of new store openings. Our selling and administrative expense as a percentage of sales increased to 30.8% in the second quarter from 28.8% of the sales for the second quarter of fiscal 2013. On an absolute basis, SG&A expense increased $1.9 million year-over-year or 2.8%, primarily due to higher employee labor and benefit-related expense, added expense for new stores and costs associated with the development of our new e-commerce platform. In addition, we recorded a non-cash pre-tax impairment charge of $0.8 million related to certain underperforming stores. Now, looking at our bottom-line. Net income for the second quarter was $2.5 million or $0.11 per diluted share, including a non-cash impairment charge of $0.02 per diluted share and expenses related to the development of our e-commerce platform of $0.01 per diluted share. This compares to net income of $6.1 million or $0.28 per diluted share in the second quarter last year. Briefly reviewing our 2014 first half results, net sales decreased to $462.4 million from $486.2 million during the first six months of fiscal 2013. Same-store sales decreased 6.4% during the first half of fiscal 2014 versus the comparable period last year. For comparison purposes, the company same-store sales increased 7.4% for the first 26 weeks of fiscal 2013 over the comparable period in fiscal 2012. Net income for the first half of fiscal 2014 was $4.6 million or $0.21 per diluted share, including $0.02 per diluted share of non-cash impairment charges and $0.01 per diluted share of e-commerce development expenses. This compares to net income of $13.6 million or $0.62 per diluted share in the first half of last year. Turning to our balance sheet. Total merchandise inventory was $324.9 million at the end of the second quarter, up 7.4% on a per store basis versus the prior-year. The increase in second quarter inventory levels over the prior-year largely reflects greater winter product carryover earlier in the year, combined with the impact of lower than anticipated sales and more normalized firearm and ammunition inventory versus the prior-year. For the third quarter, through July 28, our inventory comparison versus the prior year has improved by roughly 240 basis points from where it was at the end of the second quarter and we feel good about our ability to right size our inventory position in the second half of the year. Looking at our capital spending, our CapEx excluding non-cash acquisitions totaled $8.8 million for the first half of 2014, primarily reflecting expenditures for existing store maintenance and remodeling, new stores, computer hardware and software purchases and investments related to the development of our new e-commerce platform. We currently expect total capital expenditures for 2014, excluding non-cash acquisitions of approximately $25 million to $29 million for new stores, store-related maintenance and remodeling, distribution center equipment and computer hardware and software, including investments related to the development of our new e-commerce platform. From a cash flow perspective, our operating cash flow was a negative $2.2 million for the first half of 2014 compared to a positive $10.4 million for the same period last year. The decrease in cash flow from operations primarily reflects lower net income and increased prepaid expenses related to the timing of payments for rent and income taxes. For the second quarter, we continue to pay our quarterly cash dividend of $0.10 per share. Our long-term debt at the end of second quarter of fiscal 2014 was $68.2 million, up from $44.9 million at the end of the second quarter last year, and from $43.0 million at the end of fiscal 2013. The increase in debt at the end of the second quarter compared to the same period last year primarily reflects higher inventory levels as a result of lower than anticipated sales combined with the increased funding of other working capital. During the second quarter, we repurchased 63,012 shares of our common stock for a total of $0.8 million. In the first half of fiscal 2014, we have repurchased 91,524 shares for $1.2 million. As of the end of the second quarter, we had $8.4 million available for stock repurchases under our 20 million share repurchase program. Now, I'll spend a minute on our guidance. As Steve mentioned sales comparisons continue to be negatively impacted by the reduction in demand for firearms-related products and the retail environment in our markets and for our consumer remains challenging. Based on results to date for this year's third quarter, we are projecting same-store sales in the slightly negative to low positive single-digit range and earnings per diluted share in the range of $0.24 to $0.32. Our guidance reflects the previously mentioned variables as well as expenses of approximately $0.01 per diluted share associated with the development of our e-commerce platform. For comparative purposes in the third quarter of fiscal 2013, same-store sales increased 1.4% and earnings per diluted share were $0.41, including a $0.04 per diluted share charge for legal settlements. Operator, we are now ready to turn the call back to you for questions-and-answers.
Operator: (Operator Instructions) And we'll take our first question from Sean McGowan of Needham & Company.
Sean McGowan - Needham & Company: Can you give us some clearer picture on what we're up against in the third and fourth quarters regarding the strength of firearms and ammunition a year ago? I had the impression it was going to abate a little faster than this. So what kind of strength are we up against in the third and fourth quarter, and when do you think it becomes not really a meaningful headwind?
Steven Miller: Well, there is two issues in play, what we're up against and how it's trending sort of relative to expectations right now. Last year, the ammunition business stayed strong pretty much throughout the year and was comping very positively. The firearm business, which comped very strong, particularly in the first quarter and into the second quarter leveled off quite a bit over the back half of the year. What caught us somewhat by surprise is how far the firearm business dropped this year, not just from last year, but really back to levels that we really haven't seen since 2008, into the 2008, 2009 period. So we do now believe that we are going to continue to see some significant headwinds depending on when the sort of firearm business -- I think that one way to say it is that we've sort of lost touch with what normal is for firearms. At this stage of the game, it's certainly been running. I had think there was a period of some over consumption, and I think we're in a correction period and when that period resolves itself, is somewhat of a guess. If we would expect that the firearms and ammunition business to impact our Q3 sales somewhat similarly to Q2, a little bit less, and we would think somewhat less in Q4, but its still going to be a significant headwind. In terms of ammunition, I think one of the variables that are in play is availability of particularly, 22 ammunitions. And I think we're not alone in seeing that those have been relatively hard to come by and not only does that affect the ammunition sales, but it to a, I think a meaningful extent it affects our ability to sell a 22 Rifles, which are pretty much core to our firearm business.
Sean McGowan - Needham & Company: And Barry, if you look at your guidance on sales for the third quarter, it would seem to suggest that would given an additional EPS guidance, where is the pressure coming from that would allow for a basically flattish outlook on sales to have such a negative comparison on the bottom line? Is it gross margin or selling expenses?
Barry Emerson: Well, it's really a combination of thing, Sean. It is clearly gross margin. I mean we're impacted -- I mean, first of all at a flat same-store sales growth, call it, up a little, down a little. We're clearly deleveraging all of our expense categories at that rate. But you've also got -- we are anticipating to some degree a higher level of promotional activity. And frankly, we could say to some degree it's normalizing, because last year based on the strength of the business we really didn't have to be as promotional. And this year we're kind of getting back to somewhat of normalized promotional cadence. And in the third quarter it may step it up just a little bit to try and grab to drive traffic and sales. So there we do expect some pressure on our merchandize margins in the third quarter. In addition, our occupancy and warehousing cost and SG&A expense will also be higher year-over-year, due primarily to store growth, along with higher labor and employee benefit related expense. I mean one thing to point out, of course, is that the California minimum wage kicked in here on July 1, and so we had the impact of an increase from $8 to $9 on our California store-base. And that have the impact of roughly a $400,000 to $500,000 impact on the third quarter.
Operator: We'll take our next question from Adam Sindler of Deutsche Bank.
Adam Sindler - Deutsche Bank: A couple of questions if I may following up on guns and ammo and then some of the prepared remarks. So just first on the guns and ammo, just to make sure we have this correct. I believe you said, in the prepared remarks that it was about a 300 basis point impact in the second quarter, and that it abates a little bit in the back half of the year. But then when you compare that to commentary that comps would be up low-single digits x guns and ammo versus down low-single digits that seems to imply about a 500 basis point impact in the third quarter, so somewhat worse in the second quarter. And then, just as it relates to firearms and ammunition, we are seeing the NICS, the background check registration data improving somewhat up year-on-year in each month of the second quarter. It's a potential that you're loosing some share as there is sort of a shortage in the ammunition?
Steven Miller: I'll answer your second question first, and try and get a little clarity on the first question you asked. In terms our firearm sales, I think it's difficult to compare our firearm business with many of the others in the industry. And you have to read the NICS report carefully. We don't have the breadth of inventory in this category that others in the industry have. We carry only long guns, we don't carry handguns or centerfire modern sporting rifles, so called assault rifles. It's our understanding that the sales of these products have remained more brisk. If you look at NICS report, there's a report tremendous disparity between long guns and handguns sales, handguns being much stronger than long guns. So I think you should keep that in mind in looking at our business. I got little confused in your first question, when you were trying to get the clarity of the 300 basis point impact to our sales. So in Q2, we said, we comped down 4.9%. We said, the firearms and ammunition-related products accounted for about 300 basis point. So the takeaway from that is we still would have comped down a low-single digit in Q2, if we discounted the impact of the firearms and ammunition. What we're encouraged about is the fact that we indicate we're coming down low-single digits in the third quarter to date. And if we were to remove the impact of firearms and ammunition, which we suggest it was slightly less than the 300 basis points it was in Q2 that we'd be comping up low-single digits.
Adam Sindler - Deutsche Bank: And then two quick follow-ups, if I may. And then just a commentary on apparel, it was hurt a little bit by malaise, yet was still up mid-single digits. Does that imply that you potentially think it could have been up more high-single digits, low-double digits excluding that?
Steven Miller: We think so. No question about it. I mean I think this general, call it, what you want retail malaise, it's affecting the consumer, affecting traffic, and I think that a pretty much affects all categories. So we feel very good about what we're doing with apparel. Got a little benefit certainly from the World Cup, a small benefit from the Stanley Cup, run of the Los Angeles Kings, but even were we to discount the impact of World Cup and L.A. Kings activity, our apparel comped up very comfortably. And without the malaise it would have been even better.
Adam Sindler - Deutsche Bank: And one just real quickly, last one. Just as it relates to the weather and guidance for the third quarter, so even with the drought this year, the impact of weather will still be more favorable to last year?
Steven Miller: Well, it depends how weather plays out. But we think the drought I think is significant. I mean we got rivers that are dry, lakes that are low, marinas that are shut. They're talking about early closure of recreational areas. That's pretty impactful. That said, we think the weather was so contrary last year for most of August, that assuming we get a favorable weather, and at least it's been favorable over the last few days, and we certainly see the benefit of our business, we think we have opportunities to offset the impact of a drought. No question, things would be a whole lot better were the drought not to occur. But fortunately, the oceans are still open. And if the weather cooperates that helps as well.
Operator: We'll take our next question from Sean Naughton of Piper Jaffray.
Sean Naughton - Piper Jaffray: Quickly on just the, Barry, you mentioned some things about occupancy, just curious about what's driving that up. I did think at one point of time, you had kind of lowered the threshold of that occupancy leverage down to close to flat, but just are there investment that you are making or are there things that are happening within your occupancy number or that's changing a little bit at this point in time?
Barry Emerson: Well, Sean, I don't recall. I mean we've been working really hard and have for the last several years to try and mitigate any increases, but there has been significant inflation in the occupancy side for sometime now. And I think that because of our hard work, we've been able to kind of lower the bell curve a little bit. But no, there is pressure there. A combination of new stores and we've got some pretty nice leases that they back years and years and years, and when they come up for renewal and we got to negotiate them, there is definitely some occupancy cost creep there. So that's an impact clearly and really at these levels, so that's one impact. And then we're deleveraging on expenses and DC cost as well at these levels.
Sean Naughton - Piper Jaffray: You guys did mention the environment is a little bit challenging out there, and I don't think you guys are alone in retail at this point, it does seem like the consumer is a little bit softer. Any thoughts on, you guys talked about gas prices before and those types of thing, obviously that is starting to come down. Any thoughts there Steve on whether or not there is other factors that play that that could be impacting your consumer based on your research?
Steven Miller: I think it's the overall general economy that has the greatest impact of our consumer. I think it's a little perplexing, why the consumer is seemingly as soft as they seem to be, and as you mentioned I think we've all heard, I don't think we're alone. I think others can try and figure that out. The gas prices I think it's a plus that they do seem to be coming down somewhat now. I think obviously the drought issues and such is the recreational impact. I mean there is a real economic impact to the state -- I think the state of California, I think I saw a figure that was pretty remarkable, saying that the drought was going to cost the California economy $2.2 billion, 17,000 jobs alone this year. I think it's particularly tough in some of the farming communities that we serve. I think the issue for our consumer and maybe contributing to this so called retail malaise is the inflation in food, which perhaps the else part of the issue, another consequence of the drought that affects our consumers and everybody's consumers pocketbooks. And I think at this day and age, we see that the consumer being pretty sensitive to in anything that fits into their wallet.
Sean Naughton - Piper Jaffray: And then, you're obviously talking a little bit about the recreational categories that become the late categories, et cetera, maybe the marine stuff. But is there anything in apparel or footwear that has been trending maybe a little bit better, are there pockets of excitement inside of the store there in any of those soft good categories that you're seeing?
Steven Miller: Absolutely. I mean look the fact that given all the headwinds that we're facing, again absent the firearms, we're comping positively, and we have a lot of good things happening within the four walls. And certainly, a number of apparel has been on a good roll for a long time. I think our efforts to drive more sales with branded apparel to use our analytics to fine tune individual store allocation has been very much a positive. Our team sport business has been strong, particularly soccer. I think the World Cup was a real lift to that category. I mean other aspects of our outdoor business have been very positive outside of the firearm arena. Our camping business seems healthy. A number of categories, I'm not going to get too granular just for competitive reasons. But we have got a lot of good things going on in the business.
Sean Naughton - Piper Jaffray: And then, just if I could sneak one last one. Anything on your mix within those categories in terms of your ASPs and your units, what's driving some of the improvement and a little bit of the growth, is that this combination of both getting a little bit of pricing or is that more mix-related or more unit volume that you're driving?
Steven Miller: I think it's some stepped up price points is driving the higher ticket. I mean the fact that we're able to achieve higher, as we said, our ticket is up slightly quarter-to-date, despite our firearms, which are obviously high ticket items for us being considerably down, suggest that we are getting a higher ring across a number of categories.
Operator: And we'll take our next question from Mark Smith of Feltl and Company.
Shannon Richter - Feltl and Company: This is Shannon Richter for Mark Smith. I just have a few questions for you guys here. On your e-commerce solutions business, are you guys on budget with that?
Steven Miller: Can you just speak a little louder please?
Shannon Richter - Feltl and Company: With your e-commerce solution, are you guys on budget with that?
Steven Miller: I think our e-commerce program is moving forward as planned, I should say. And I think we're pretty excited about the planned launch here for September. And just from a CapEx standpoint, from an extent standpoint, and we're not expecting any kind of material revenues for this year, we're expecting our net expenses for the year to be about $0.03 to $0.06, which is very consistent with what we've said, so far earlier in the year. And our CapEx is roughly $4 million to $5 million in terms of spend for the e-commerce solution, which is I don't think out of the ordinary for this kind of a project.
Shannon Richter - Feltl and Company: And then, can you discuss the sales lift out of your remodels?
Steven Miller: Discuss the -- say one more time?
Shannon Richter - Feltl and Company: Sales lift out of your remodels?
Steven Miller: We've been investing more heavily in existing store maintenance and remodeling this year, as we did last year and we've been pleased by the results. I think there is too many factors in play and there is too many variables in the types of remodels and investments that we make. But I'll tell you, we're very pleased and absolutely feel that it's a contributing very positively to sales. I think particularly in our apparel sales, which I think is the category that generally stands the most of gains, as we go in and freshen up, and initiate some new fixtures within our stores has given us a great lift.
Shannon Richter - Feltl and Company: And then just last question. How much of your inventory increase was in firearms and ammunition?
Steven Miller: I don't have that figure in front of me. I mean last year, particularly in ammunition, we were really chasing the product. So we were significantly under inventory in the product at that time. This year we're sort of caught up with exception of the 20, 22 ammo, but I think in round figures it could be a 100 basis points plus or minus of the increase.
Operator: We'll take our next question from David Magee of SunTrust.
David Magee - SunTrust: I just had a couple of questions. One is you had mentioned with regard to prospects for positive comps in the second half of the year some programs I guess are new to drive sales. Can you give a little more color regarding that?
Steven Miller: Well, I'm not getting into too much color, just be it for competitive reasons. But we've got we think some strong initiatives to drive traffic and strong promotions, see if we can excite the consumer in a challenging environment. So that's a big part of it. We're excited by a lot of efforts to bring in some new products of a number of categories in footwear, in particular to try and help jumpstart that business has been a little more challenging for us.
David Magee - SunTrust: Are your changing how you market or advertise the business in the second half of the year?
Steven Miller: Certainly, not materially. I mean we've been evolving our marketing over sometime. We're still very -- we drive a ton of business sale through print advertising. We've been shifting some of our spent, we hope thoughtfully from a print to digital. We've been doing that now for certainly several years and we're continuing in that those efforts. But it's more an evolution than a revolution.
David Magee - SunTrust: And secondly, Barry, you mentioned I think something about inventory looking better since the quarter end on a year-to-year basis, did I hear that correctly?
Barry Emerson: That's right, David. Since the end of the second quarter we're down about 240 basis points from where we ended the second quarter as we speak.
David Magee - SunTrust: So your change has lessened by that much. Is that what you're saying?
Barry Emerson: That's exactly, right. That's right.
Steven Miller: As a reminder I mean a significant portion, I mean somebody asked me the question about how much of the firearms and ammunition added to the inventory increase, and I suggest that was about a 100 basis points and I think I'll stick to that. I think that reasonably close. A much bigger number is the winter carryover after the kind of dismal winter season we had. And that inventory will basically get right-sized as we've obviously adjusted our buy for the 2014, 2015 winter season. So all-in-all certainly our inventories are high, higher than we'd like to see them, but we feel very comfortable about our ability to right size from over the back half of the year.
David Magee - SunTrust: Is some of the pressure on gross margin in the third quarter related to that, just trying to get the inventory number down?
Steven Miller: I would say it's more related to try to hopefully drive the consumer into the store in a challenging consumer environment, not so much a case of trying to right size our inventory. So I think we're going to right size our inventories. And have already to a meaningful degree over just the month of July, just by adjusting certain orders. Any time you sort of get surprised by some shifts in business trends, you'll wind up with a little more than you'd like, but most of that is easily fixed by adjusting orders.
David Magee - SunTrust: And just lastly, you all might be a little more promotional. What are you seeing with regard to your competition out there in recent months? Are others are also being more promotional as well?
Steven Miller: Well, I would absolutely say, yes. I think that not just our competition, but I think much of the whole retail environment has been, I would argue promotional than normal, over recent weeks. And I suspect it's likely a response to the retail headwinds that we've mentioned and certainly others have spoken to.
Operator: And we'll take our next question from Bill Dezellem of Titan Capital Management.
Bill Dezellem - Titan Capital Management: I had a group of questions. First of all, relative to the guns and ammo, is that rate of negative impact increased in the second quarter relative to the first or decreased? I've been a bit unclear what you were trying to communicate there?
Barry Emerson: The impact from firearms and ammunition was significantly larger in the first quarter. I think we suggested that it was about 650 basis points in Q1 of 2014. So it's certainly was a whole lot less in Q2 than it was in Q1.
Bill Dezellem - Titan Capital Management: And then I know that you generally don't do the sequential comparison, but gross margin sequentially was up and yet sales were flat. And so that's a bit unusual and favorable, and that's why I am hoping you can help us understand what might have led to that sequential increase on flat sales please?
Steven Miller: I am not sure I follow the question. Well, say that again, Bill.
Bill Dezellem - Titan Capital Management: Your gross margin was up in Q2 versus Q1, and sales were basically flat Q2 versus Q1. And so that's a bit counter to be thinking that the gross margin would have increased on flat sales. And again, I recognized you normally don't do the sequential comparison, you tend to prefer to do a comparison over the prior-year. But I'm hoping you can shed some light on this, if you could?
Steven Miller: You're right, Bill. Sequentially it's driven so much based on just seasonality and the different mix of products that take place. And the new stores coming on line from an occupancy standpoint, and all of those kinds of things, really, really kind of muddy the water. But the biggest thing is seasonality. And so to try and talk about these things quarter-to-quarter it's very, very difficult. It makes a lot more sense to talk about it year-over-year.
Bill Dezellem - Titan Capital Management: And then, a final question, and it may have just been addressed by the prior questioner. But do you have any import in merchandising initiatives for the second half of the year that we can talk about?
Steven Miller: Well, I do think, I think it's the same answer I just gave, that we're pretty excited about some initiatives and promotional plans to drive traffic and sales. And we're certainly working hard in our footwear. We know that's been a more challenging category for us. And I think the best I can say, accelerating the rate of change within the category and looking to apply some more what's been successful in apparel to that category, shifting more of our buy dollars to certain branded products, in some cases at elevated price points. We're pretty enthused by that. Again, a number of categories that are performing strong, we just want to build upon. And we feel pretty good about what we're doing in the business. I mean that's the big question mark out there. It's just kind of how to battle through this retail malaise that we're talking to.
Operator: It appears there are no further questions at this time. Mr. Miller, I'd like to turn the conference back to you for any additional or closing remarks.
Steven Miller: All right. Thank you. We appreciate your interest in Big 5 Sporting Goods. And we look forward to speaking to you on our next call. Have a great afternoon. Thank you.
Operator: This does conclude today's conference. Thank you for your participation.